Operator: Ladies and gentlemen, thank you for standing by. Welcome to Clear Channel Outdoor Holdings' 2024 Second Quarter Earnings Conference Call. At this time, all participants are in a listen-only mode. A brief question -and -answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. I will now turn the conference over to your host, Eileen McLaughlin, Vice President, Investor Relations. Please go ahead.
Eileen McLaughlin: Good morning and thank you for joining our call. On the call today are Scott Wells, our CEO and David Sailer, our CFO. They will provide an overview of the 2024 second quarter operating performance of Clear Channel Outdoor Holdings, Inc., and Clear Channel International B.V. We recommend you download the 2024 second quarter earnings presentation located in the financial section in our Investor website and review the presentation during this call. After an introduction and a review of our results, we’ll open the line for questions, and Justin Cochrane, CEO of Clear Channel U.K. and Europe, will join Scott and Dave during the Q&A portion of the call. Before we begin, I’d like to remind everyone that during this call, we may make forward-looking statements regarding the company, including statements about its future financial performance and its strategic goals. All forward-looking statements involve risks and uncertainties, and there can be no assurance that management’s expectations, beliefs or projections will be achieved or that actual results will not differ from expectations. Please review the statements of risk contained in our earnings press release and our filings with the SEC. During today’s call, we will also refer to certain measures that do not conform to generally accepted accounting principles. We provide schedules that reconcile these non-GAAP measures with our reported results on a GAAP basis as part of the earnings presentation. Also, please note that the information provided on this call speaks only to management’s views as of today, August 7, 2024, and may no longer be accurate at the time of a replay. Please see slide in the earnings presentation, and I will now turn the call over to Scott.
Scott Wells: Good morning, everyone and thank you for taking the time to join us today. We delivered second quarter consolidated revenue of $559 million, an increase of 5.2% or 5.4% excluding movements in foreign exchange rates, with growth in our America, Airports, and Europe-North segments. Our performance reflects healthy demand from advertisers across the majority of our markets, with notable strength in our Airports and Europe-North segments. We also benefited from solid execution across the range of ongoing initiatives aimed at broadening our revenue base. Following record first quarter revenue in the America segment, our second quarter results came in at the low end of our guidance due to softness in the national marketplace, particularly in the medical services and media entertainment verticals. In the current quarter, we are seeing improving business trends, including in national, and remain on track to achieve our full year guidance. We mentioned in our Q1 call that results this year might be lumpy and weighted to the second half and that is how the business is developing. We believe advertisers are increasingly recognizing the value of our digital billboard platform, now reaching over 70% of US adults monthly in our served markets, as well as our data and analytics capabilities, which enable us to target particular audiences and effectively measure advertisers' campaigns. In addition to generating increased revenue from our digital and programmatic initiatives, we are also continuing to attract business through our website and expanded sales team, as well as through our direct outreach. The direct business has been instrumental in building relationships with brands across all channels. All of these efforts have the impact of effectively scaling our platform and expanding our revenue sources while offsetting some of the industry-wide softness in national. Our Airports business remains strong. 2024 has been a historic period for travel, marked by 9 of the 10 busiest days in TSA history, with air travel hitting a record in July. The surge in travel is expected to continue through the remainder of the year and into 2025, putting us in a strong position to continue to leverage our premium assets to drive ad dollars. Europe-North delivered another great performance with health growth continuing in the current quarter, led by the strength in Sweden and the UK. Turning to our outlook, Dave will expand on the details later, but I want to highlight that we have modestly increased our full year consolidated revenue, adjusted EBITDA and AFFO guidance, given the strength in Airports and Europe-North. On the M&A front, negotiations for the sale of Europe-North remain ongoing. The team is performing very well, executing the focus strategy we laid out several quarters ago, creating optionality and derisking the business. For instance, their trailing 12-month operating leverage has been outstanding, with segment-adjusted EBITDA growth of 21% on revenue growth of 9% versus the prior period, excluding movements in foreign exchange rates. We remain committed to exiting Europe at a price that reflects the value being delivered by this business, based on the continuing improvement of these assets. In the meantime, the funds we generate from our European businesses can be used to continue strengthening our cash position and further enhancing our European profit engine. Separately, in our LATAM sale process, we are making good progress and will provide further updates in due course. Finally, it's important to note that even before we complete these asset sales, we believe we are turning the corner on cash generation. We expect AFFO in the second half of 2024 to outpace our discretionary CapEx for the same period and expect this to improve in 2025. This creates an option to start to organically delever our balance sheet. We believe this is a significant milestone in our journey to enhance shareholder value. So overall, we're pleased with the ongoing progress our team is making in executing on multiple initiatives to monetize our technology and broaden our revenue streams. And we're encouraged with the momentum we're seeing in our business. With that, let me hand the call over to Dave.
David Sailer: Thanks, Scott. Please see slide 5 for an overview of our results. As a reminder, Europe's sale is included in discontinued operations. Additionally, during our discussion of GAAP results, I'll also talk about our results excluding movements in foreign exchange rates, a non -GAAP measure. We believe this provides greater comparability when evaluating our performance. Direct operating expenses and SG&A expenses include restructuring in other costs that are excluded from adjusted EBITDA and segment adjusted EBITDA. And the amounts I referred to are for the second quarter of 2024. And the percent changes are second quarter 2024 compared to the second quarter of 2023, unless otherwise noted. Now on to the second quarter reported results. Consolidated revenue for the quarter was $559 million, a 5.2% increase. Excluding movements in foreign exchange rates, consolidated revenue was up 5.4%. Loss from continuing operations was $48 million, higher than the prior year due to impairment charges related to the company's Latin America businesses. Consolidated net loss, which includes the income from discontinued operations, was $39 million. Adjusted EBITDA and adjusted EBITDA excluded movements and in foreign exchange rates was $143 million, roughly flat with the prior year. AFFO was $25 million in the second quarter, a 12.2% decline from the prior year. Excluding movements in foreign exchange rates, AFFO was down 12.3%. On to slide 6 for the America segment second quarter results. America revenue was $290 million, up 0.9% reflecting increased revenue in most markets, most notably Miami driven by increased demand and digital deployments. Digital revenue which accounted for 35.3% of America revenue was up 4.1% to $102 million. National sales, which accounted for 35% of America revenue, were down 3.3% on a comparable basis. Local sales accounted for 65% of America revenue and were up 3.4% on a comparable basis. Direct operating and SG&A expenses were up 3.4% to $163 million due to higher compensation costs related to our expanded sales team, pay increases and higher variable incentive compensation and higher credit loss expense related to specific reserves for certain customers. Segment-adjusted EBITDA was $127 million, down 2%, with a segment-adjusted EBITDA margin of 43.8% down from the prior year. Please see slide 7 for a review of the second quarter results for Airports. Airports revenue was $86 million, up 21.4% with strong demand across the portfolio, led by the Port Authority of New York and New Jersey Airports and the San Francisco International Airport, which grew largely attributable to new advertising customers. Digital revenue, which accounted for 56% of Airports revenue, was up 14.6% to $48 million. National sales, which accounted for 57.7% of Airports revenue, were up 12% on a comparable basis. Local sales accounted for 42.3% of Airports revenue and were up 37% on a comparable basis. Direct operating and SG&A expenses were up 22.7% to $67 million. The increase is primarily due to a 23.4% increase in site lease expense to $53 million driven by higher revenue and lower rent abatements. Segment-adjusted EBITDA was $19 million, up 16.8%, with a segment-adjusted EBITDA margin of 22.1%. The slight decline in segment-adjusted EBITDA margin is driven by the decline in rent abatements. On to slide 8 for a review of our performance in Europe-North. My commentary on Europe-North is on results that have been adjusted to exclude movements in foreign exchange rates. Europe-North revenue increased 10.1% to $165 million due to higher revenue in most countries, most notably Sweden and the UK, due to increased demand and digital deployments, partially offset by the loss of a transit contract in Norway. Digital accounted for 56.8% of Europe-North's total revenue and was up 17.9% to $94 million. Europe-North direct operating and SG&A expenses were up 6.7% to $132 million due to higher property taxes and rental costs for additional digital displays, higher compensation costs driven by pay increases and variable incentive compensation, and an increase in site lease expense. Europe-North segment-adjusted EBITDA was up 24.7% to $33 million, and the segment-adjusted EBITDA margin was 19.8% and improvement over the prior year. Moving on to CCIBV on slide 9. Clear Channel International BV, an indirect wholly owned subsidiary of the company and the borrower under the CCIBV term loan facility, includes the operations of our Europe-North and Europe-South segments, as well as Singapore, which is included in Other. Financial results of Singapore have historically been immaterial to the results of CCIBV, and revenue and expenses for the Singapore business were further reduced in the first quarter of 2024 due to the loss of a contract. As the current and former businesses in Europe-South segment are considered discontinued operations, results of these businesses are reported as a separate component of consolidated net income in the CCIBV Consolidated Statement of Income for all periods presented and are excluded from the discussion below. CCIBV results from continuing operations for the second quarter of 2024 as compared to the same period of 2023 are as follows. CCIBV revenue increased 6.4% to $165 million from $155 million, excluding the impact of movements in FX, CCIBV revenue increased 6.6% as higher revenue from our Europe-North segment. As I just mentioned, was partially offset by the loss of a contract in Singapore. CCIBV operating income was $10 million compared to the $3 million in the same period of 2023. Now moving to slide 10 in review of our capital expenditures. CapEx totaled $23 million in the second quarter, a decrease of $8 million over the prior year primarily due to the timing of CapEx spend in America. Now on to slide 11. During the second quarter, cash and cash equivalents decreased by $4 million to $189 million. Cash paid for interest during the second quarter decreased $39 million compared to the same period in the prior year due to timing of interest payments in connection with the debt refinancing transactions that occurred in August 2023 and March 2024. Our liquidity was $404 million as of June 30th, 2024. Up $15 million compared to liquidity at the end of the first quarter due to an increase in excess availability under the receivable-based credit facility driven by increased receivables. Our debt was $5.7 billion as of June 30, 2024. Our weighted average cost of debt was 7.4% in line with the first quarter. As of June 30, 2024, our first lien leverage ratio was 5.39x. The credit agreement covenant threshold is 7.1x. Now on to slide 12 and our guidance for the third quarter and the full year 2024. All consolidated guidance in Europe-North guidance excludes movements in foreign exchange rates with the exception of capital expenditures and cash interest payments. For the third quarter, we believe our consolidated revenue will be between $542 million and $567 million representing a 3% to 8% increase over the third quarter of 2023. We expect America revenue to be between $287 million and $297 million and Airports revenue is expected to be between $79 million and $84 million. Europe-North revenue is expected to be between $157 million and $167 million. Moving on to our full year guidance. As Scott mentioned, we are modestly increasing the full year guidance we provided in May for consolidated revenue, adjusted EBITDA, and AFFO. We expect consolidated revenue to be between $2.215 billion and $2.275 billion representing a 4% to 7% increase over 2023. America revenue is expected to be between $1.135 billion and $1.165 billion. Airports revenue is expected to be between $350 million and $365 million. Europe-North revenue is expected to be between $653 million and $668 million. On a consolidated basis, we expect adjusted EBITDA to be between $560 million and $590 million. AFFO guidance is $90 million to $110 million. Capital expenditures are expected to be in the range of $130 million and $150 million with a continued focus on investing in our digital footprint in the U.S. Additionally, we anticipate heavy cash interest payment obligations of $435 million in 2024 and $422 million in 2025. This guidance assumes that we do not refinance or incur additional debt. And now, let me turn the call back to Scott.
Scott Wells: Thanks, Dave. To recap, business trends remain positive across our portfolio, and our team continues to execute well on our plan, setting us up to increase our guidance and deliver growth for the year. In addition to benefiting from the overall growth of the economy, we are increasingly seeing the benefits from our investments in digital, programmatic, and data analytics, as well as our sales team's direct business and new website. We believe these efforts are enabling us to expand the range of advertisers we can serve, which is increasing utilization of our platform and strengthening our ability to maximize revenue. At the same time, we remain committed to simplifying our organization with a focus on our America and Airports segments, as we continue the Europe-North and Latin American sales processes. We believe this will enhance our ability to improve cash generation and reduce debt over the next few years. And now let me turn the call over to the operator, and Justin Cochrane will join us on the call.
Operator: [Operator Instructions] Our first question is from Cameron McVeigh with Morgan Stanley.
Cameron McVeigh: Good morning. Thank you. Maybe if you could just provide any more color on the national versus local ad trends in the U.S. market, maybe any verticals that are driving strength or weakness at either one. And then the trends you've seen there into the third quarter. And then secondly, how would you suggest we think about AFFO growth beyond 2024? Thanks.
Scott Wells: Great. Thanks, Cameron. I'm going to take the first half of the question, and I'll ask Dave to take the second half. It is kind of a tale of two marketplaces, and it's even, as you see in our results, it's different in Airports versus roadside in terms of national versus local markets. So I think a national, what I would emphasize, is that it is very competitive, and advertisers have a lot of choices. And so it is really, really critical for you to be showing up with the best solution that is addressing whatever it is they're trying to accomplish. It's one of the reasons why we're emphasizing vertical markets more and bringing in expertise to address vertical markets more because you kind of need that knowledge and understanding of the underlying business to be effective in the emerging national market. You can't just count on RFPs flowing through agencies. So I think that the competition is how I'd characterize the national space. And you see our results in Airports where we have a stronger differentiated offering are stronger than the results that we're achieving on roadside at this point. I don't think that that is a persistent or given in any way, shape or form. I think it is something that we need to do the work to demonstrate and evolve. And so we're focused on that. And local, it's a lot of different things that go on at the local market. And it is very different within the context of individual local markets, how they're playing out. Whether there's competition going on among quick serve restaurants versus casual dining restaurants, or there's competition going on among legal providers in that market, or there's competition among roofers. The key in the local market is being abreast of what is important in that local market and making sure that you have an adequate base of sales people covering the field. Which we have been very focused on and I think have been doing quite well on. And I think I'd characterize the spending in both. The money is there. We've got to figure out how to go get it. It's not a question of the ad market not having the money to fess up what we need to get to accomplish our goals. It's a question of us making it happen. So that's where I'll characterize the national and local markets and I'll hand AFFO to Dave.
David Sailer: Sure. Thanks, Scott. As you notice, we increased our guide from a revenue and from a consolidated EBITDA standpoint. So as we grow EBITDA, that is going to fall through to the bottom line. And what I'm thinking about the second half from an AFFO standpoint, we have mentioned in our script, I think we are turning the corner from like a cash flow, like from a generation standpoint, because when you look at AFFO, and obviously that includes maintain CapEx, but we're going to employ in the second half where we'll be able to cover our growth CapEx if you kind of just take a look at it, if you look at AFFO and you include that growth CapEx. So I feel very good about kind of where we are and looking forward on the growth of AFFO and it will be positive in the second half. And as we grow the business and as from the top line, that's going to flow right down through to AFFO growth.
Operator: Our next question is from Daniel Osley with Wells Fargo.
Daniel Osley: Thank you. Maybe as a question or maybe as a follow up on the national ads question, as you mentioned, Scott, you've made some really great strides in the Airports segment on national and much has come from new advertisers. So have you been able to use Airports as a way to pull in new advertisers on your billboard inventory in America?
Scott Wells: So we have done some with that. But from the advertiser perspective, the proposition in an airport is pretty different from roadside. And so we have not had a lot of success cross-selling airports to roadside. We've had more success selling roadside to airports, generally by expanding buys and spreading things out. There have been examples of where we've done that. But a lot of our airport advertisers are very focused on the airport audience. And so it doesn't translate into roadside that well. Whereas with a lot of our roadside audience buyers, they're looking at a broader audience and the airports gives them a somewhat narrower. It's a little bit of an easier cross-sell, if that makes sense.
Daniel Osley: That's helpful. And then maybe as a quick follow-up, in the past, you've mentioned commitment cancellations as a leading indicator of an advertising downturn. So have you started to see an uptick here in how have your most recent conversation with advertisers trended?
Scott Wells: Thank you for raising that one, Daniel. It's a really, really important point. We are not seeing a bunch of cancellations. And the sense that we get talking with our partners in agencies, as well as with advertisers, is that we're going to see a pretty decent ad market in the second half this year. We do have this little election thing going on that is likely to crowd out some TV advertisers, which is going to create opportunity for us. And we have been working diligently on getting with the campaigns and getting with the different national committees to try to educate them on what's possible with our digital assets. So stay tuned for how that impacts thing. I'm not saying it's going to be a big number for us, but I think that backdrop is something that is a positive for the ad market in the second half.
Operator: Our next question is from Avi Steiner with JPMorgan.
Avi Steiner: Thank you, and good morning. I've got a couple here. Scott, good to hear trends are improving in the Americas. I just wanted a quick clarification. Was that a comment specific to national or the segment overall? And then relatedly, you just talked about political and the crowd out benefits, but I'm wondering about political itself if you could talk about what that might mean for your boards in the Americas, and then I've got a couple of follow-ups. Thank you.
Scott Wells: Yes, so my comment is just for advertising in general, but that for out-of-home in general, I think the campaign spending that's going on will be a positive because of the crowd out factor, as well as possibly picking up some local races, and maybe we can even get a little bit of national money. In terms of forecasting for you what the spend is going to be, I think even if we're successful getting some of that national money, it's not going to be transformative for us. The way that these campaigns work is you have to see somebody get elected because of some ad schema, for that ad schema to become the preferred ad schema. And we haven't had that advertiser, and I don't believe either of the principles this year are likely to be that player. I think we may see quite a war on TikTok, but that's a whole other area of speculation. But I do think that we have gotten some traction as we've worked with the political operatives and educating them on what's possible with digital. So I think the way to think about this election cycle for us is that maybe we can get some nice trial, and maybe we can help swing a couple swing states for someone. And in 2028, we'll be having a more optimistic discussion about how much money is going to come flowing in.
Avi Steiner: Okay. I appreciate that. And then, not to get too in the weeds here, but I think you highlighted credit losses, specific reserves for certain customers in the Americas. I'm just wondering if you can find a little color there in terms of how we should think about that at that one time, et cetera.
David Sailer: Yes, I can take that, Avi. Good morning. I mean, from a credit loss, I mean, that's just going to happen as part of the business. If you kind of look at the history, I mean, if you look at Q3 of last year, we actually had, upside from credit loss where the collections came in later. I mean, overall, as a company, I think we do a really nice job of collecting cash. The team does a good job, but on time, you're going to have credit losses here and there that are going to pop up. And we had one pop up in Q2 of this year, but I don't think it's anything to be concerned about or any kind of trends there.
Avi Steiner: Terrific. And if I can end it on this, and Scott, I'm sure you're not excited for this question. But just on the strategic review for Europe-North, I think you reiterated the negotiations are ongoing. And I'm just curious if the healthy results in that segment is a complicating factor or a factor at all in any way in terms of how that might be progressing. And thank you all for the time.
Scott Wells: Thanks, Avi. I'd be lying to you if I didn't expect some questions on Europe-North. So thanks for opening the floodgates on that one, I'm sure. Look, I think that I would much rather sell a business that is performing than a business that is struggling. So I feel really good about the performance of Europe-North and I don't think that is a factor except to the degree that it will give us conviction that, we need a fair value for the asset. We're not going to be super cute and try to squeeze every last nickel. I think our behavior on our transactions to date have been pretty consistent on that, that we have struck a balance of pragmatism and fair value. But it just strikes us that, having Europe-North performing as well as it does, I do not think is a complicating factor. I think the fact that the business is a complicated business is why this, it always takes longer than you hope in working your way through things because there's just a lot of moving pieces in a business as big and as complicated as it is. And so I think that is the answer to your underlying question of, why is this taking so darn long? That's really what the driver of it is. There's a lot of moving parts and a buyer needs to get comfortable with all of those underlying parts.
Operator: Our next question is from Lance Vitanza with TD Cowen.
Lance Vitanza: Thanks, guys. On the airport side, I wanted to return to this topic of the new ad customers. I think that's really important. Was that new advertisers that you're seeing at airports in existing verticals or were these new advertisers in new verticals? And then, either way, do you have a sense for how the new advertisers are feeling about the efficacy of their spend? Are they pleased? Have they given you feedback? Are they likely to continue, or at this point, could they potentially be just sort of in and out of the medium? Thanks.
Scott Wells: There's a lot going on there, Lance. So, first and foremost, there is always a danger with an advertiser that they're going to be in and out. A lot of the reasons that people advertise are ephemeral. It's a product launch. It's expansion into a new geography. There are, I think that tells the story of what's gone on with our national business for a bunch of years in terms of, things ebbing and flowing. So the last thing I would want to represent here is that once we get a customer, they're a customer for life. Of course, we'd prefer that to be the case, but that's not what typically, it's not typically how it plays out. I'd say the growth has been a healthy mix of people going deeper within verticals that already were in Airports, things like technology or things like education and things related to like universities, things like that, and healthcare facilities. The healthcare is probably even one that straddles a little bit. I think we've done a really good job developing that vertical. They probably did some advertising in airports five years ago, but they're much more commonly in. So it's been a mix and it's been a conscious effort. The team has been very focused on targeting verticals that they think are good fits, and they've done a nice job of leveraging the environment we're in where travel is so popular that it's been just a really terrific business development story, the teams to be congratulated for that.
Lance Vitanza: And it looks like margin hung in pretty well at 22%. I want to say you've been guiding toward lower margins, below 20%, or at least over time. And could you talk about the drivers and maybe the cadence of any expected ramp down to lower margins at Airports that you're thinking about these days?
Scott Wells: Well, I'm going to make one wise crack and then I'm going to handed to Dave. Lance, I think I'm going to invite you to our budget sessions because I've been noticing that the margins have been hanging tough for some time too but I'll let Dave give a more fact-based answer.
David Sailer: I mean look at the end of the day Airports that businesses perform very, very strong as everyone knows over the last 12 months, 15 months and when you have revenue growth in the first quarter, we are close to 40% and margins were up and we have obviously the rent abatements has kind of been a tailwind to us. That revenue growth has continued so with revenue growth at 20% and we had less rent abatements so if you look at our margins last year in Q2 versus this year, they were actually higher last year because there were more abatements. But if that trend continues look from a business standpoint that top line is going to drive the margin so as we move forward, we continue seeing the expansion on the top line that the margins are you're going to hit over 20%. I'd say the Airports team has done a great job just being as efficient as possible. They have not added a lot of resources as we've grown that top line so they've done a really good job there. We will put some investment into the business, but no, I think the margins, I think we're getting to a point where we're going to get over that big teens. And as I look into the second half, I mean, they'll be, you might get a spike if there are still a few rental abatements that are out there. And that would be a tailwind as well, but we'll see if those come in.
Operator: Our next question is from David Karnovsky with JP Morgan.
Unidentified Analyst : Hi, thank you. This is Ted for David. I just wanted to ask a follow-up question on national and how we should be thinking about the improvement in Q3 and the second half. You brought up before political and the crowd artifacts, but presumably there should also be easier comps and improvements in media entertainment. So I just wanted to ask about that. And then secondly, could you give an update on San Francisco during Q2? I think going back to Q1 earnings, you said that it was improving, but nowhere near full potential. Thank you.
Scott Wells: Great. Thanks, Ted. Yes, so you're definitely right on national that our comp in Q3 is much softer than our comp in Q2 was. So that should be a mitigating factor. I'm not sure if media entertainment is going to be helping us too much. We've talked about this before that we tend to get more movie versus like television within the media entertainment piece. And the release schedule for Q3 is okay, not great. I think the release schedule starts looking better in Q4. So I'm not sure that media entertainment is going to be a big tailwind, but you're absolutely right that the softer comp is a factor. On the Bay Area, your question about San Francisco, I think that our characterization would be very consistent with the Q1 characterization, that it is continuing to improve, but there still is a good ways to go before we're celebrating that we've gotten all the way there. I think Dave referenced that Airports had a particularly strong really first half in San Francisco which was great to see that you're seeing the travel aspect really rebound very strongly, traffic is certainly back in the Bay Area anybody who's traveled out there recently recognizes just how crowded the roads are and so forth. And the city itself continues to improve. So I think we're in the right trend line on San Francisco but I'd be remiss if I characterized as we are all the way back.
Operator: Our next question is from Jim Goss with Barrington Research.
Jim Goss: Hi. Sorry. I was going to ask about recession concerns that seem to pop up here and there. It's been a long time since we've had an actual recession. I was wondering so far so good, but what risks do you think exist in terms of categories and verticals? Anything else that you think we should be thinking about?
Scott Wells: Thanks, Jim. That's a big question. I am certainly not an economist and I've been pretty consistent in my pushback since March of ‘22 that from what we could see commercially we weren't going off a cliff and I continue to feel that way. Again, our canary in the coal mine in this business are cancellations, and we really have not seen any sort of uptick in that degree. So any speculation beyond that, I'd be going on without the benefit of economic models and all the things that the people who opine on this have. I think just thinking about the broader topic of risk, anytime you've got a political campaign going on anywhere in the world, it's a double-edged sword at some level because you can have advertisers feel like they don't want to get caught up in the noise of it. I probably absent the events of the last five weeks, where you've had a change in the tone on one of the sides of the divide, I think my view of risk of that dynamic was worse before the change in candidate that happened. I think the change in candidate that happened has caused some of the chance that we were going to have a bunch of brands say, I don't want to be part of this election to diminish. But I am really speculating on that one, Jim, but we see elections all over the world. Part of the softness we had in LATAM in Q2 was because of the Mexican election. You had in the run-up to the Mexican election, there were a lot of candidates killed, and you had a lot of advertisers just pull their campaigns for kind of the six weeks before and four weeks after the election cycle. I don't think we're going to see anything like that here. But if you're an advertiser, it's something you have to factor in. I think in the world that we live in right now, the risk that comes from escalation in the Middle East or things breaking in a bad direction in Ukraine are certain factors that are out there. But in my dialogues with advertisers, I tend to think that those sort of things are more imponderables that they're going to react to at the time as opposed to preemptively behave on the sort of vibe of an election is one that they're more likely to hunker down around. And all of this comes back to how are the P&Ls looking at the businesses that advertise. And I think you see in the behavior of the advertisers for the most part those P&Ls are doing just fine and so I guess all-in, I'm always nervous about being too much of a Pollyanna But I think all-in, the fundamentals are pretty sound.
Jim Goss: Okay, and maybe have you noticed any changes of note in any of your business areas in the larger and smaller markets from whatever shifts in to work from home and remote to access may have taken place over the past years. We haven't really fully gone back to the way things were pre- pandemic? Has it affected your business in any way to the good or bad?
Scott Wells: Jim, it's a great question and it's one that as a leader of business I spend a lot of time thinking about how we deal with our employees on this dimension, and you're right that the world has not gone back to what it was in 2019. I think the things I'd characterize since we are predominantly an airport and roadside business, and that's true really globally. We have a few transit contracts around the world, underground transit that is, but I look at traffic around the world, and traffic around the world is not like diminished from where it was in 2019. On the contrary, I think it's up in almost everywhere, certainly in the vast majority of the markets that we're in. Traffic has increased, the audience has increased, therefore the value of our roadside assets has gone up, and obviously airports have come back with a vengeance, and those assets have proven to be quite valuable. So from our perspective, work from home is not crushing our audience because our audience is still out driving around, doing things in their personal lives as well as their commute. They might be on the road at different hours, but they're still on the road a lot, so I think that would be how I'd characterize that, Jim.
Jim Goss: Okay, last thing just to pile on a little bit in the Europe-North area, has interest in the Europe-North properties picked up given the good results you've been experiencing and or pricing expectations for those properties?
Scott Wells: So I'm definitely not going to comment on pricing expectations other than just say that we're committed to getting a fair value. I'd tell you that the interest, look, our team cast an extremely wide net, so we have had a pretty broad-based set of interest for a fairly long time, with pockets of that interest spiking over that time, as we've gotten into dialogues. It is a business that is complicated. And so as people learn more about it, they ask different questions. And the fact that it's continuing to perform, I think, is all a positive for it. So I wouldn't tell you that we have had ebbing and flowing of particular interest from particular parties, but we've known who the parties were for a long time. I guess that's the way I'd characterize that. Thank you. There are no further questions at this time. I'd like to hand the floor back over to Scott Wells for any closing comments.
Scott Wells: Right. Thank you very much, Paul. And thank you all for joining us today. I think in light of the recent stock market volatility, it is worth me putting a pin in what we were just talking about with Jim, which is that we believe the fundamental drivers of demand for our assets are very sound. And that we are very encouraged by the progress that we're making driving our business. So as we head into the second half, it is with an upbeat tempo and a sense that good things are lying ahead. So again, thank you all, and we'll speak soon.
Operator: This concludes today's conference. You may disconnect your lines at this time. Thank you for your participation.